Operator: Good day, ladies and gentlemen, and welcome to the ABM Industries Q3 Fiscal Year 2014 Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions) As a reminder, today’s conference is being recorded. I would now like to introduce your host for today’s conference call, CEO and President, Henrik Slipsager. You may begin, sir.
Henrik Slipsager - President and Chief Executive Officer: Thank you. Good morning. Joining me today are Jim Lusk, Executive VP and Chief Financial Officer; Jim McClure, Executive Vice President; Tracy Price, Executive Vice President; and Sarah McConnell, our Senior Vice President and General Counsel. Today, I will provide an overview of the 2014 third quarter that ended July 31. Jim Lusk will discuss the details of our financial results. Jim McClure will provide an update of our onsite business and Tracy will comment on the company’s operational results for Building & Energy Solutions and provide a brief update on sales and marketing. I will then comment on Air Serv’s performance for the quarter and then conclude our prepared remarks with an update on our outlook for fiscal 2014. There is a slide presentation that accompanies today’s call. You may access this presentation now by going to our website at www.abm.com and under the tab Investors you will see the Events & Presentations tab. Today’s presentation will be the first listed. Sarah?
Sarah McConnell - Senior Vice President and General Counsel: Thank you, Henrik. Please turn to Slide 2 of the presentation. Before we begin, I need to tell you that our presentation today contain predictions, estimates and other forward-looking statements. Our use of the words estimate, expect and similar expressions are intended to identify these statements. These statements represent our current judgment of what the future holds. While we believe them to be reasonable, these statements are subject to risks and uncertainties that could cause our actual results to differ materially. These factors are described in the slide that accompanies this presentation. During the course of this presentation, certain non-GAAP financial information will be presented. A reconciliation of those numbers to GAAP financial measures is available at the end of the presentation and on the company website under the Investors tab.
Henrik Slipsager - President and Chief Executive Officer: Thank you, Sarah. Now, please turn to Slide 4 for an overview of our third quarter. The company’s operating performance in the third quarter was outstanding. Revenues for the quarter were a record and up nearly 5% in the same period last year. Janitorial posted top line growth of 3% again. Building and Energy Solutions had another very good quarter achieving top line growth of 21% and on an organic basis over 14%. Air Serv’s performance was exceptional with revenue up nearly 18% and organic growth exceeding 11%. Our janitorial, parking, building and energy solution Air Serv business posted double-digit growth in operating profit, which contributed to a 16.5% increase in adjusted net income for our year-over-year basis. These results reflect the hard work that we have done in transforming the company and putting us in a stronger position to compete as companies gradually move on to integrated facility service models. These results are even stronger when you consider the third quarter fiscal ‘13 had a Work Opportunity Tax Credit benefit of $0.02 per share. During the quarter, the company repurchased over 377,000 shares of stock at a cost of $10 million and yesterday, we announced a cash dividend for the fourth quarter of $0.155 per common share. This marks our 194th consecutive dividend. Yesterday, we announced – now, I would like to turn the call over to Jim Lusk for a financial review of our third quarter.
Jim Lusk - Executive Vice President and Chief Financial Officer: Thank you, Henrik, and good morning, everyone. Turning to Slide 5, as Henrik noted, revenues of $1.28 billion for the third quarter were up 4.9% compared to the prior year, including organic growth of $45.8 million or 3.8%. Gross margins for the 2014 third quarter were 10.3%, up 34 basis points compared to the third quarter of 2013 primarily attributable to enhancements to the company’s risk management and safety programs, savings from the onsite realignment and newly awarded contracts within our building and energy solutions segments, which generally have higher gross margins. SG&A expense for the third quarter increased $5.8 million or 6.8% to $91.2 million primarily from a $4.1 million increase as a result of hiring additional personnel to support certain growth initiatives and IT. Amortization of intangible assets for the third quarter decreased by $0.5 million to $6.5 million. Our effective tax rate for three months ended July 31, 2014 and July 31, 2013 were both 40.5%. Adjusted net income, which excludes items impacting comparability, was up $3.8 million to $26.9 million for the third quarter primarily due to new business and onsite realignment savings. In addition enhancements to our safety and risk management programs led to a decrease in our insurance expense for fiscal 2014. Now sliding – turning to Slides 6 and 7, day sales outstanding at quarter end were 54 days, up 3 days on a year-over-year basis and up 1 day sequentially. Cash generated from operating activities for the quarter ended July 31, 2014 was $19.3 million. This was a decrease of cash generated of $27.2 million compared to the same period in fiscal ’13 primarily related to the timing of collecting receivables and higher cash taxes paid. Turning to insurance, as is customary practice, in this third quarter with the assistance of an independent external third party we conducted actuarial evaluations for the majority of our casualty insurance programs. As a result of those evaluations our current year insurance expense on a year-over-year basis is lower due to the enhancements made in our safety adverse management programs. Included in net income is an after tax charge of $6.1 million related to expected insurance reserves for policy years before 2014. This compares to an after tax charge of $6 million recorded in the third of fiscal 2013. As Henrik noted earlier we have repurchased 377,364 shares of stock at an average price of $26.50 for a total of $10 million. We paid $8.6 million in dividends. And yesterday we announced our 194th consecutive dividend continuing the long established pattern evidenced by the chart on the bottom half of Slide 7. I would like to now turn the call over to Jim McClure.
Jim McClure - Executive Vice President: Thank you, Jim. Please go to Slides 9 and 10, I will now provide some operational highlights of our onsite service for the third quarter before turning the call over to Tracy for an update on Building & Energy Solutions. Janitorial top line growth for the quarter was 3.5% compared to 2013 with revenue of $468.3 million. Janitorial sales momentum continues with recent job starts in our sports and entertainment, financial services, high-tech and educational verticals. Our Midwest and West regions achieved year-over-year revenue growth in the third quarter of 4.7% and 4.6% respectively and revenue were solid in the quarter compared to fiscal 2013 grew over 7% to $42.2 million. As we discussed on prior calls there is some seasonality related to our business with the second half of the fiscal year results traditionally being stronger. Janitorial segments earned $40.4 million in operating profit for the third quarter of fiscal 2014, an increase of $6 million or 17.4%. Operating profit margins increased by 74 basis points to 6.23% compared to the third quarter of fiscal 2013. The significant growth was primarily related to lower labor and labor related expense as a result of our safety initiatives and realignment savings and the new business we have added across all of the regions. Moving to facility services as previously communicated we expected revenue to be flat to slightly lower for the quarter, revenue was $151 million, was down a little over 1%. On a year-over-year basis, operating profit improved by $0.5 million or 7.1% and profit margins increased by 39 basis points. They were a handful of items positively impacting margins for the quarter. The parking revenue was $156.5 million, up $2.5 million compared to 2013. Management reimbursement revenues were up $2.6 million to $78 million and continue this type of gradual growth in parking revenue – growth in parking revenue as micro economic trends improve. Recently we were successful in retaining two key airport accounts that amount to approximately $35 million in annual revenue, so solid effort by the parking team. Parking operating profit increased by $1.2 million or 14.6% as compared to the fiscal third quarter of 2013. Operating profit margins increased by 69 basis points during this period. The increase in operating profit margins was from reduced insurance expense, lower expense from the realignment of our onsite operational structure and lower legal fees. It was nice to have no adverse effect from weather this quarter and to see continued improvement in margins. Turning to security, the top line was at $95.4 million essentially flat on a year-over-year basis. The team is working on some significant opportunities and the pipeline continues to be solid. For the third quarter, security generating operating profit of $3.9 million, operating margins decreased by 7 basis points to 4.09%. The slight decrease was a result of a one-time bump in labor cost associated with over time incurred due to some system issues that have largely been resolved. Offsetting the higher labor cost were savings from onsite realignment and lower legal fees and insurance costs. I want to provide an update on the few items before turning the call over to Tracy. First, a comment regarding client retention, we currently remained in a 92% to 93% on a rolling four-quarter basis. By analyzing the reasons for recent retention patterns, we identified approximately 2% to 3% of the lost onsite business for reasons other than performance and price. Examples are contracts we canceled, jobs taken in-house and reduction in scope. This information provides a deeper appreciation for the growth achieved in the quarter and year-to-date and supports my belief that we can over the long-term improve our retention by a couple of points. Next, I want to provide a brief update on where we stand with the onsite realignment. For the third quarter, we achieved a pre-tax basis savings of approximately $2.2 million compared to the third quarter of 2013. We have successfully completed all of the essential elements of the reorganization and are really seeing a significant amount of opportunity to cross-sell services among the four operating segments. This will of course take time, but what really makes me very excited about the future is the continued collaboration I see in the organization and the amount of opportunities we have to drive long-term sales. Before concluding my portions of today’s remarks, I would like to comment on some changes we made to our safety and risk management programs. And moving to the onsite model, we seized an opportunity to reevaluate the programs we had in place as well as our safety culture. One of the clinical steps we took in the onsite organization was transferring corporate safety personnel to the field and upgrading talent in critical areas. In addition, we have more active participation by members of the senior team in terms of our safety and insurance programs. We will continue to focus our efforts and resources in these areas and we believe longer term there are opportunities to prevent certain claim types and to reduce the severity of injuries. The onsite team enters fourth quarter with solid momentum and I look forward to sharing our results in December. I will now turn the call over to Tracy.
Tracy Price - Executive Vice President: Thanks, Jim. Continuing on Slides 9 and 10, I will provide an update on our building and energy solutions segment, which includes ABES, government services and ABM Healthcare Support Services. This was another strong quarter for the team and we are very pleased to share these results. Starting with revenues, we accomplished the 21.5% increase to $127.5 million. Excluding acquisitions, we achieved organic growth of 14.2% as we benefited from an increase in energy retrofit projects, service and maintenance contracts and continued improvement in our government business. Another outstanding quarter for the ABS team with organic growth at 14% and reflect of our continuing record backlog and strong sales momentum. During the quarter, the ABES team continued to rollout EB charging stations under a program with BMW of North America. In addition, ABM Healthcare Support Services continued its successful revenue trend with growth of 17%. For the fourth time in the past five years, our healthcare support services business has been selected as one of modern healthcare’s best places to work. All of the credit goes to our leadership and the talented associates working to deliver our complete portfolio of end-to-end services designed to support hospitals and healthcare systems. With year-over-year growth in revenue by ABES contributions from ABM Healthcare, government services, BEST IR, our San Diego acquisition Alpha Mechanical, BESG generated operating profit of $6.8 million, up 15.3%. In addition, adjusted EBITDA for BESG was 7.5%, up nearly 10% compared to third quarter of fiscal 2013. For the year-to-date adjusted EBITDA is 6.2%. These are outstanding results and based on the strength of our pipeline we remain well positioned as BESG moves into the final quarter of fiscal 2014. Turning to Slide 11, I want to mention a few of the sales and business highlights from the past quarter. We continue to gain momentum across many of our vertical markets. And as I have mentioned in my previous calls, we continue to strengthen collaboration among the company’s service businesses. To this end, we announced ABM facility services was selected to provide a full range of engineering services for Commonwealth Partner’s properties across the Western and Midwestern United States. This deal builds upon the existing contract Commonwealth has with ABM parking. On August 1, we completed the acquisition of a Northern California based company called the Airco Commercial Services. This acquisition part of BESG’s continuing strategy to deliver our entire portfolio of services in major metropolitan areas and in markets where we have significant client concentrations which drives the type of growth the business has been experiencing. The combination of Airco and our previously announced acquisition of Alpha Mechanical completes our coverage of California, a state where ABM does approximately $1 billion in revenue and has over 20% of it’s employees. And with that I will turn the call back to Henrik.
Henrik Slipsager - President and Chief Executive Officer: Thanks Tracy. Before discussing our final outlook for fiscal ’14, I want to say a few words about the Air Serv. This segment listed as others in our financials had revenue of $97.5 million, up $14.8 million or 17.9% compared to the third quarter of ’13. The Blackjack acquisition contributed revenue of $5.6 million. Organic revenue growth was 11.1% driven by the recent start of a shuttle operation in Heathrow Airport and new business in the U.S. Operating profit of $4.5 million was up $700,000 or 18.4%. UK operations drove the improvement in operating profits and I want to acknowledge the fine work they do. The acquisition has really exceeded our initial expectations and the Air Serv team is well positioned for the fourth quarter. Please now turn to Slide 13 for a review of our financial guidance for ‘14. Based on the company’s year-to-date operational result and its current expectations the company is lifting guidance for adjusted net income to $1.65 to $1.69 per diluted share, as for net income guidance $1.2 to $1.6 per diluted share. This guidance continues to assuming an $0.08 diluted share benefit based on the Work Opportunity Tax Credit, which the company assumes congress will retroactively reenact by the end of – of this fiscal year end of October 31, 2014. Please review the other items listed on Slide 13 which contributes to the EPS guidance we have provided. And as is customary, our guidance is excluded of any future acquisitions. At this time we would like to open the call for questions, Operator.
Operator: (Operator Instructions) Our first question comes from Michael Gallo with CL King.
Michael Gallo - CL King: Hi, good morning. Congratulations on the good quarter.
Henrik Slipsager: Thanks Mike.
Michael Gallo - CL King: Couple of questions. Henrik, are we completely through some of the startup costs you had from some of those new projects in the first half of the year or would you expect we will see some more of that as some of these – some other projects roll in?
Henrik Slipsager: I think our startup cost was pretty similar in this quarter as compared to the last quarter. On one side I really hope we are going to have a lot of startup costs coming in the coming quarters because that means we are going to get a lot of new business. But I think if you look at where we are right now they might be going down a tiny bit in the coming quarters, but in general it is a good problem to have these startup costs.
Michael Gallo - CL King: Sure. Second question I have I was wondering if you can elaborate at all on the commentary towards security, I think you mentioned you expect to secure some new high-tech business, so would you expect we will start to see growth in the security segment again on the top line in Q4 or will that probably take the first half of the next year before we start to see growth there.
Jim McClure: This is Jim McClure. This good momentum in the pipeline coming into the security I think it will be due to some loss business in the second – first quarter this year more of a first quarter result and when we will get the top line growth back in place for security. You got to remember they are coming off two very aggressive years of success and we just had a little of flat point but that’s all I consider right now I think they are going to be well positioned for fiscal ’15.
Michael Gallo - CL King: Okay. Great. And then just final question, obviously was a very nice increase in Janitorial operating profit, it seems to be due to some of the realignment savings and the safety initiatives which I would think would recur going forward, was there anything usual that drove that growth so much greater than the revenue growth that would prevent it from recurring at the same rate or should we see very, very strong operating profit growth in Janitorial assuming we continue to see good organic growth numbers?
Jim McClure: The realignment exercise is over the insurance, you are correct on that is recurring, so we are very pleased with the margin growth at the stands for the Janitorial business, it’s really unheard of in the territory we are at. We are very pleased with our performance and expected to continue.
Michael Gallo - CL King: Okay, great. Thanks very much.
Henrik Slipsager: Thank you.
Operator: Our next question comes from Andrew Wittmann with Robert W. Baird.
Andrew Wittmann - Robert W. Baird: Thanks for taking my questions. I wanted to actually just build on the last question on the janitorial margins. I mean, you saw some of the same benefits in the facility services and even in the parking stuff. Was there anything one-time in those issues or would you, Jim, expect those to kind of continue at the levels of year-over-year, in terms of, if you look at the margins the year-over-year gains that you posted, should we expect those similar type of gains recognized in the seasonality from the things that come in, in winter and things like that?
Jim Lusk: I think you are going to see a little bit. I think in janitorial, I answered that question. I think in facilities, we are going to see due to some lost business, we are going to see some margin compression with a short-term that we talked about last quarter, but that business industry still is a very solid 7% plus bottom line margin business and we continue to grow that aggressively in ‘15, but we have lost some business at no result of our own actions geared lately and that’s impacting the short-term and in the fourth quarter. Security, like I said they will be turning – there is top line and bottom line around in the first quarter of ‘15.
Andrew Wittmann - Robert W. Baird: Got it. So, it looks like you had your normal third quarter insurance reserve releases and adjustments there, but it sounds like better safety programs are contributing to overall cost savings. I guess, maybe just a little bit of detail as to what are you doing there specifically and how comfortable are you seeing that, that is just kind of a new way of doing business as a contributor to your overall margin gains?
Jim McClure: I think when we took the risk people out to the field and have real-time data communicating to the operator, so they understand the risk profile. You see a great involvement with all levels of organization on the operational piece in regards to safety and risk. We are treating safety and risk like we treat cash flow. We talk about it every week, we are dealing with it, we see it as a large bucket of potential improvement, it takes time, but we are very aggressive and very bullish of what the future looks like in our insurance risk profile.
Henrik Slipsager: I would like to add also, one other benefit of the safety is also a key thing for us, which is safety for our employees, the better we are, the fewer employees are hurt, which of course is one of our main goals.
Andrew Wittmann - Robert W. Baird: Yes. Okay, I guess I had one other question and that was around the buyback, something new that you did this quarter we haven’t seen you do in a very long time. Henrik, I guess, I’d just be just curious as to did you see a unique opportunity in your stock this quarter or do you think that a certain amount of buyback every quarter is kind of a new way of allocating capital is something that investors should expect, I think some of your philosophy in this would be helpful?
Henrik Slipsager: It’s something we are evaluating every quarter, and this particular quarter we made the judgment this was the right time to buyback. There is no commitment on buying back tomorrow and we are looking at it. We have the permission I think for another $40 million to buyback if it’s opportune for us, but it’s – as you know, there is lot of things into consideration, acquisition opportunities, etcetera etcetera. So, this particular quarter, we thought it was the right quarter, we thought our cash position was perfect for that particular investment, so we did it.
Andrew Wittmann - Robert W. Baird: Great, that makes sense. And guys I did have one last question, I apologize, but you talked about margin benefit to the overall company from greater mix of BES work. I was always little curious, I know that you exited a fairly sizable loss-making contract, you kind of got out of that. How much of benefit was, first of all, is that contract now fully behind you? And is that also a contributor to the overall company margin benefit when you talk about labor being lower as a percent of revenue? Is the fact that, that’s over one of the contributors to your margins? And then is it therefore sustainable going forward as a result of that?
Henrik Slipsager: I think you talked about the contract, but we cancelled a good portion of it, probably 20% of the contract, because it was a loss giving part of that particular job.
Andrew Wittmann - Robert W. Baird: Yes.
Henrik Slipsager: That happened to be in the janitorial side, so I will let Jim talk to it.
Jim McClure: Right. Yes, that was in janitorial and that does increase the overall performance of that account and reduce that negative impact that we were absorbing on a historical basis.
Henrik Slipsager: And it’s behind us now.
Jim McClure: And it’s behind, sure.
Andrew Wittmann - Robert W. Baird: Okay, great. Thank you.
Henrik Slipsager: Thanks.
Operator: Our next question comes from George Tong with Piper Jaffray.
George Tong - Piper Jaffray: A bit deeper into overall gross margin performance this quarter, what proportion of your margin expansion came from onsite realignment versus business mix versus lower insurance expense trying to determine the sustainability of margin expansion moving forward and what the potential drivers could be?
Henrik Slipsager: Well, George there are so many moving factors in that question that I can’t exactly tell you if the realignment gave you 0.1% in one area. And there is also the mix of business where you will see higher growth in Tracy’s business in general will drive overall higher margins for the corporation which makes a lot of sense. And that’s what we believe from the get, go and the more growth we have Tracy’s businesses you will see the overall impact increase the EBITDA percentage for the combined company. But I can’t really break it out for you in small numbers, because some of it was also maybe increases we guide you probably some contract I can go on and on out there, 5000 say impacting the bottom line.
George Tong - Piper Jaffray: Okay. Got it. I guess this quarter you had several strong contract wins in the Janitorial segment which helped to drive organic growth expansion or acceleration from the prior quarter based on your pipeline of contracts and ramping contract activity how should we think about the organic growth outlook in Janitorial over the next one to two quarters?
Jim McClure: I feel very solid about the organic growth possibilities and pipeline at Janitorial in the near future. And we are seeing the benefit of the onsite realignment and there are opportunities that are coming are larger. And so that’s the wins are bigger and we are getting a lot more consideration as a large account, large opportunities than we have ever in the past.
Henrik Slipsager: So it holds overall that is going to continue at least for the next year. And as we continue to execute the way we have been executing in the past I hope this is a long-term development based upon a new organization, new kind of focus on the business. With the new sales and marketing programs and the combination of all those should hopefully create more growth.
George Tong - Piper Jaffray: Got it. And then lastly what’s you visibility around the tax credit specifically how confident are you that the tax credit will be reinstated in time to benefit 4Q results?
Henrik Slipsager: Well, I am not as optimistic as I was nine months ago and six months ago and three months ago. The reason that we still have it in there in our guidance is the fact that I think we have had it and pointed it out every quarter since the beginning of the year. I don’t think we have any doubt that the (Work Opportunity Tax Credit) is going to get through. We are very concerned if it is going to get through within this fiscal year. So if we don’t get it this fiscal year, it’s our belief we are going to have a $0.16 impact next year. So for me it’s the timing issue and unfortunately the way some people wrote the accounting rule this has to having before October 31, so even though our call won’t be until December of this coming year and hopefully it will be implemented by the December of next year. We might not be able to get into this fiscal year but it’s the timing issue.
George Tong - Piper Jaffray: Thanks very much.
Operator: Our next question comes from Joe Box with KeyBanc.
Henrik Slipsager: Hi, Joe.
Joe Box - KeyBanc: Hi. Question for you on CapEx, it looks like about 22% decline form last quarter’s guidance, curious if this is the timing thing or we should expect to see higher CapEx in FY ‘15 or if you are just kind of purposely spending less?
Henrik Slipsager: Overall on CapEx what drives CapEx mostly happens to be IT. IT happens to be in different quarters and this is more of a timing issue. I don’t think you are going to see any major difference in 2015, but unfortunately I see it drives major one-time payments.
Joe Box - KeyBanc: Okay. So kind of going forward we should be thinking about it being 34 to 36 this for next year?
Henrik Slipsager: Yes, I think so. I think that’s the right level, but it could probably be up 5 or below 5 for but that is the level if you look at it over a longer period of time.
Joe Box - KeyBanc: Perfect. Thanks. And then I just want to go back to the business pipeline I know you guys put a lot of commentary around it and it does seems favorable I am just hoping we could try to quantify that is the pipeline of new deals that you are seeing, are you seeing it grow or has it maybe normalized at a strong level? May be just any directional color you have on how it compares to the last couple of quarters?
Henrik Slipsager: I think the pipeline overall is as strong as it was at the end of last quarter. The reason that we are still trying to get accurate data in order to provide the Street with a strong pipeline definition. We are very close of getting it, but I am not going to commit to a date for that, but when we have that, it should give you – that information will give you much better feel for tomorrow’s – growth in tomorrow’s business than we are providing today.
Joe Box - KeyBanc: Okay, that’s fair enough. Yes, we will look forward to that then. I just want to follow-up on a prior question on start-up expenses. I think you guys explicitly quantified the upfront expense at Air Serv and said it was flattish sequentially? That was pretty helpful. Can you just maybe give us that detail on janitorial and building and energy, just given they have seen some solid new growth?
Henrik Slipsager: It’s flat year-over-year. And I think there is very little start-up cost associated with Tracy’s business overall. It is much more project based, but it’s primarily Jim in the major jobs he is starting. And I think you are going to see on a stabilized basis, it’s going to be probably between $1 million and $1.5 million on an ongoing basis. And I think this quarter is $1.7 million that level and it’s a little higher, because Jim, thank God, is starting up a lot of nice business. So, I think it’s stabilized. We have that little tough start-up, but that was also a start-up with a piece of the business losing money that we have to get out of. So, we included that in the start-up cost, which could be discussed eventually part of that, but it was a part of a new contract.
Joe Box - KeyBanc: And just so I understand Henrik, are you saying the $1.7 million was for the total company or was that janitorial?
Henrik Slipsager: No, it’s for the total company, but the major start-up was happened to be in the janitorial group.
Joe Box - KeyBanc: Okay, with $1.7 million? Okay.
Henrik Slipsager: Yes.
Joe Box - KeyBanc: Maybe just to dig into customer mix a little bit, you just alluded to larger customers becoming a bigger percent of the mix, can you maybe talk to what some of the primary differences are between the large customers that you are bringing on and maybe some of your existing smaller customers? How pricing typically compares contract duration and maybe profitability of these contracts?
Henrik Slipsager: Well, I can tell you in general we expect those major contracts, which for us in general means multi-sites throughout the country will be longer lasting as long as they perform up to the expectations of the client, because we are somewhat difficult to replace, because we are basically the only true nationwide company in this particular business. So, they will last longer, I would say probability wise is probably tighter the first year too, but after a period of time they move up to the average over the rest and if you have the account for 10 years, 15 years, it could even be more profitable than the average. So – and that’s also we have to pay the start-up cost, I know Jim start up a project with 700 different sites starting over a three-day period and that does cost a lot of money, but nobody else can do it and we are in a unique position when it comes to that.
Joe Box - KeyBanc: Understood. Thanks for the color on that. One housekeeping item for Jim Lusk and I will turn it over. And I apologize if you said this earlier, but Jim did you quantify what the insurance expense savings was overall?
Jim Lusk: Not overall year-over-year. It’s definitely down a little and continuing.
Joe Box - KeyBanc: Okay. Can you give us the number, I mean it seems like it was a fairly meaningful driver?
Jim Lusk: Yes, it’s not a big number year-over-year, it’s combined with the onsite re-org combined with the new business, so in and of itself it’s not a big number, but it is improving, and this does take time over time.
Henrik Slipsager: But I would like to add one thing to it and that is with all the money that we have put in safety that we have expensed over the last period of our clients. We expect that payback to be on the short-term, but be long-term. So, we still believe there is a long way to grow, a lot of opportunities to be met, and it is clearly a factor that’s both important for us competitively, but as well also from an earnings point of view is very important.
Joe Box - KeyBanc: Okay. Nice quarter. Thank you.
Henrik Slipsager: Thank you.
Operator: Our next question comes from Adam Thalhimer with BB&T.
Adam Thalhimer - BB&T: Good morning guys.
Henrik Slipsager: Good morning.
Adam Thalhimer - BB&T: I am trying to understand a little bit more the guidance for Q4. The – what will be your expectations for revenue growth in janitorial, I mean is it kind of a mid single-digit growth number sound about right to you?
Henrik Slipsager: I have never given revenue guidance and I am not going to start now.
Adam Thalhimer - BB&T: Okay. And then in terms of maybe just question two, but just thinking through margins, you typically do get a sequential improvement Q3 to Q4, I mean what would be your thoughts on kind of sequential margin improvement this year?
Henrik Slipsager: Well, we expect the margins. And again, I have never given margins guidance, but we do expect the margins to stay at the same level as they are right now. You have to understand also in our number for the guidance number, we have included $0.08 of credit in the adjusted number. So, when you lower that number and compared to this particular quarter, you have to take $0.06 out of period that’s associated with the guidance. You know what I am saying.
Adam Thalhimer - BB&T: Yes. Right, I think that I am just trying to get to the GAAP guidance, the $1.42 to $1.46?
Henrik Slipsager: I have the same issue with the GAAP guidance, because again we have credit included.
Adam Thalhimer - BB&T: Right. Even I stripped that out, it’s a very strong quarter is that’s what I was asking about revenue in the quarter?
Henrik Slipsager: So, in the quarter, if you take that out and you lowered the midpoint of the guidance, it’s slightly better than this particular quarter, but it’s not crazy good.
Adam Thalhimer - BB&T: Okay, maybe there is something else. Maybe corporate cost, is there any corporate cost for hiring in Q3, what drove that and could those come down in Q4?
Henrik Slipsager: Corporate cost, we expect to stay at the same level in Q4. Corporate was up a little bit, because we were finally able to address some of the vacancies we were seeing in our IT department primarily over a longer period of time. Thus some of the safety initiatives we have invested in, you see the investment, but as you can see from this quarter, you also get a payback.
Adam Thalhimer - BB&T: Okay, I will follow up offline. Thanks guys.
Henrik Slipsager: Thanks.
Operator: Our next question comes from David Gold, Sidoti.
Henrik Slipsager: Hey, David.
David Gold - Sidoti: Good morning. Just a couple of points to follow up, one curious on the tag work where you saw some nice growth if you can speak a little bit there as to drivers and thoughts on sustainability?
Jim Lusk: Hi, David, it’s Jim. We are pleased with the good growth in tag work and we are seeing I think that’s as the economy gets stronger we are seeing that rebound to pre-2008 rates and even exceeding that. And I think it’s a focus on our managerial team’s attention. So, we are – onsite organization is one, we are able to cross-link over and expose ourselves to more tag opportunities. So, I believe it’s sustainable.
David Gold - Sidoti: Okay, perfect. Are there any specific drivers that we should be looking at this?
Jim Lusk: Yes, it’s – David, it’s across the board. So, it’s just the fact that two things. The economy is helping us. Vacancy, especially with the high-tech boom in San Francisco and Silicon Valley and even overflowing into Seattle, the West Coast is feeling that benefit. And for that, we have greater opportunities in the tag business. So, as office vacancy, it gets healthier and better the tag revenues trail along.
David Gold - Sidoti: Perfect. And then as a companion question here in the janitorial side, can you give us a sense with the new contract wins and the opportunities that you are seeing here? Do you think we will be able to or able to hold the improved margins that we are seeing?
Jim Lusk: Well, David, the margins with the re-org and the insurance is helping dramatically. I think some of these larger accounts that we have gotten are multi-site heavy capital investment upfront, a little longer to clear out, but ultimately we usually are very pleased in the end of maybe a year’s period with the performance of those type of accounts, because again, we are the only person that can self perform in the country and we get locked in and the knowledge of the business allows us to become more efficient. So, these large opportunities are complex. They are costly at the outlay of them. And we look to hold them for a very long time like historically we do and be very happy with the profitability of those in the long-term.
David Gold - Sidoti: Perfect, perfect. And then Jim on the insurance let’s say reserves just curious, I guess you could help me understand a little bit better, as I guess we are in year two of having to step up reserves to prior years sort of speaking, historically that caused you to actually have step up your current reserve, but in this case, it sounds like its come down a little bit, so just curious how we bridge that a little bit?
Jim McClure: Yes. If you look at things like general liability and auto and that kind of stuff they tend to be event driven, you can have a handful of cases. You got a very long period of time. So if you look at like the last seven years or so, I mean we have had some years of big positive numbers coming in. We have had some years flat and some years down. On average it’s been about two plus million or so out of period. But the good news is that all the work we are doing now will stem future types. Jim and Tracy and I just like we did on workers comp, which is really the insurance we have been focusing on, we are going to double down our efforts on GL and auto liabilities and other things we can do there. They are a little more lumpy, but the reason it’s below the line because some years in the past we had huge positives if you remember. But on an average it’s a couple of million in the last seven years negative, but we hope to turn those tides, but they tend to be driven by a handful of small cases especially in general liability.
David Gold - Sidoti: Got it. And just one last one, Henrik I know you said earlier no commitment to buyback, but I guess just curious on maybe updated thinking between when you think about uses of capital between acquisitions and buybacks sort of at this point given valuations out there?
Henrik Slipsager: Well, in general I would of course focus as I have shown over the last many years, focus on acquisitions that brings value to the company both in the form of could be verticals, could be geography, could be services like the one investment that we made in Tracy’s this particular quarter. But it’s something if we sit down and evaluate and if buyback of stock is an alternative that ends up getting a higher return to the shareholders and we are not doing something negative on the opportunity side with respect to acquisitions and of course the buyback is very positive.
David Gold - Sidoti: Got it. And besides of I mean acquisition pricing right now?
Henrik Slipsager: We have a number of opportunities and we normally don’t do, we don’t comment too much on acquisitions, but clearly we feel we have appropriate cash availability to do the acquisitions that we see in the short-term it really becomes true.
David Gold - Sidoti: Perfect. Thank you.
Henrik Slipsager: Thanks.
Operator: Our next question comes from Michael Kim with Imperial Capital.
Henrik Slipsager: Hi Michael, you gave up. Are you there?
Michael Kim – Imperial Capital: I am here, can you hear me now?
Henrik Slipsager: Now I can hear you.
Michael Kim – Imperial Capital: Okay. Hi, good morning. For facility services your scale with some of the new jobs that are ramping up and I think the business has been sort of in this range for a little while and through the balance of the fiscal year, I just kind of want to get a better sense if you think facility services can start to see growth rate similar to Janitorial and what kind of timeframe we could see a recovery in that business?
Jim McClure: Yes, I believe probably in the second quarter of ‘15 we will return facility services to a growth element if not at the level of Janitorial, exceeding Janitorial. They lost some business at no fault of their own that impacted their top line and bottom line this year. And I referenced that in our retention numbers and that’s non-reoccurring, so it’s just going to take us a little time to get them back on their feet, but the model is solid. The opportunities are in the consolidated facility market engineering still is the driver and the source of a lot of the leads that we are getting, so we feel that they will be profitable and growing in the future.
Michael Kim – Imperial Capital: And are you starting to see a lot more the cross sell contribution and collaboration with some of the other parts of the organization on the onsite side, is that where you are seeing a good amount of lead activity as well?
Jim McClure: Absolutely, all of the real estate consolidation and getting everyone together and breaking the walls down and having people look at their businesses as onsite operation and not the silos it takes time to change that culture and now we are in that culture implementation period. And we are absolutely seeing the benefits in the cross selling.
Michael Kim – Imperial Capital: Great and then on the Building & Engineering Solutions side, can you talk about if you are seeing acceleration in pipeline of the energy retrofit business, it seems like there is a pretty compelling ROI argument and I am curious if there is any particular verticals or activity that you are seeing and some good pickup?
Jim McClure: Yes. We are seeing the kind of traditional growth opportunities in K through 12 and in the universities and colleges we have cracked the code in the federal space, so we had our first contract there and we are working on some other large contracts in the federal space which is pretty intriguing for us because that’s not a market that we have been in before. And we are actually making headway in the healthcare business too for BES. So I think we are seeing it broad based, it’s being embraced by the onsite teams and we are partnering with their incumbent customer relationships and it’s going quite well. Pipeline is very solid and it’s more a function of our ability to onboard competent qualified sales people which is going to drive our growth.
Michael Kim – Imperial Capital: Great. And then Henrik you briefly talked about Air Serv and the aviation business, one of the comments you made was some opportunities on for some U.S. airports, are you seeing some maybe a larger pipeline of opportunities in the U.S. and some carry over to the capabilities you have both domestically and in the UK?
Henrik Slipsager: Well, I see a very good trend in our aviation business. I think we have proven that the vertical focus does drive higher growth than we saw in the past with a trait based focus. I think you Jim McClure said as well. And it’s my hope it’s going to continue I am not saying we are going to continue with the 14% growth, but the UK operation has performed I can only use the word outstanding and been a very pleasant surprise for us. And the U.S. operation has done very well. We have had some – it’s tight markets in the U.S. compared to UK where I got a very talented team there and I hope they are going to continue this double digit growth, but there will be a little dip here and there, but overall I think you will see that growth being much higher than the average growth in state of traits.
Michael Kim – Imperial Capital: And does your performance in the UK give you an opportunity to leverage into the Continental European and are there different dynamics by country markets and are you making some investments to build your go to market in those areas?
Henrik Slipsager: Well, entirely different dynamics as you can understand different rules, different laws, different mentalities but it’s clearly one of our focuses is to use the verticals for a more global expansion. We started at the UK, we’ve been pretty conservative and will take a little time before we expand further out from the UK, but clearly you will probably see expansion in our vertical into Continental Europe over the next two or three or four years.
Michael Kim – Imperial Capital: Great. Thank you very much.
Henrik Slipsager: Operator anymore questions? I think the operator…
Operator: I am sorry. My headset was muted I apologize.
Henrik Slipsager - President and Chief Executive Officer: That’s alright. I want to thank everybody for listening to the third quarter. And I look forward to talking to all of you in December. Thank you.